Operator: Ladies and gentlemen, welcome to the ams-OSRAM Conference Call on First Quarter 2025 Results and Live Webcast. I'm Moritz, the Chorus Call operator. [Operator Instructions] The conference must not be recorded for publication or broadcast. At this time, it's my pleasure to hand over to Juergen Rebel, Head of Investor Relations. Please go ahead, sir.
Juergen Rebel: Good morning. This is Juergen speaking. We welcome all of you to our financial and business update on the first quarter fiscal year 2025. Aldo, our CEO, will comment on business and strategy. Rainer, our CFO, will focus on the financials then. During the call, we are referring to the earnings call presentation that you can find on our website. Please be aware we also always provide a second full IR presentation with further background material on our website. Aldo, please walk us through the latest results.
Aldo Kamper: Glad to do so. And also welcome to everybody from my side. We are staying on course in uncertain times. Our turnaround continues; Re-establish the Base is ahead of plan; more savings realized in the last quarter. It's the key driver for noticeably higher profitability in a difficult quarter compared to a year ago. Let us look at the financial performance of the group on Slide 2. Revenues came in at €820 million, above the midpoint of the guidance, a sequential decline of 7%, pretty much in line with the usual seasonality across the board, despite the underlying cyclical weakness. Seasonality was the clear driver in the auto lamps aftermarket business whereas in semis, we saw more complex dynamics. Year-over-year, we were only down 3%, which is primarily due to the cyclical inventory correction in auto semis and the cyclical bottom in industrial and medical. Also the non-refundable engineering payments for development of novel LED technologies contributed positively. At constant currencies and excluding the divested passive optical components business, the decline would have been 4%. Profitability; adjusted EBITDA margin improved year-over-year by almost 2 percentage points to 16.4%, 2% more EBITDA with 3% lower revenue. This shows the improvement in our earnings profile due to the Re-establish the Base program and the non-refundable engineering payments we keep receiving. Why only down €50 million quarter-over-quarter, less than a typical fall-through? Remember in Q4, we reduced inventories which lowered EBITDA. Year-over-year, we see a 9% improvement coming in €11 million higher at €135 million, and this on a lower revenue base. Now quickly on the segments, page 3, a look at traditional halogen lamp business. Revenues came down 9% quarter-over-quarter. The aftermarket continues to be good and is going through its usual seasonal pattern with lower revenues coming in Q2 and Q3. A bit of a decline year-over-year as we still had some legacy OEM module business running a year ago and more OEM lamp business that is transitioning towards LED. We continue to win share at the top OEMs as is visible in our annual VPA negotiations with them. Together with our strong performance in the aftermarket channel, it continues to show the strength of our last-mile standing play. Within the €249 million, again around €45 million of specialty lamps for industrial and entertainment applications, these were pretty much flat sequentially. A very favorable product mix, a one-time effect and good plant utilization boost adjusted EBITDA margins to almost 25%, a real strong performance; €61 million compared to €50 million in the December quarter. Now, it's time to look at the summary of the business on Slide 4, OS first. Opto Semis came down 4% quarter-over-quarter. Revenues stood at €336 million after €350 million last quarter, actually a bit better than expected. In short, non-refundable engineering payments for a novel LED technology and support from the Euro/USD exchange rate helped balancing the negative effect of the typical January 1st VPA price down in auto semis and the revenue tailwinds in Q4 from delivering on order backlog. When it comes to this novel LED technology, I'm very pleased that we continue to be on track in terms of engineering milestones for this technology truly demanding project. Adjusted EBITDA stayed almost flat at €49 million coming in at 15%. Remember, in Q4 last year, we reduced waiver starts to bring down inventories which impacted EBITDA, hence kind of an artificially lowered baseline to compare accounts. Now, Sensors and ASICs on Slide 5. Majority of the business is in consumer which saw only a very small seasonality due to the strength in old and new products. Most of the quarter-over-quarter decline was due to an end of life of a custom product in industrial. Revenues down 9% to €236 million. If we back out the sold business of Passive Optical Components that still contributed a year ago, revenues actually grew more than 6% year-over-year. Adjusted EBITDA dropped stronger than a typical fall through which are just down to €32 million at 14% adjusted EBITDA margin. However, more than five times higher than a year ago, showing the structural improvement in profitability, thanks to Re-establish the Base. Why down some much? Stronger fall through than quarter-over-quarter, Q4 was elevated above the normal trend line due to a one-off accrual effect and strong U.S. dollar. Q1 however saw a typical seasonal factory underutilization and some negative mix effects as customer kept ordering and already phased out low margin end-of-life product. We move on to Slide 6 on end market dynamics. Semis in total came in essentially flat with minus 1% year-over-year. The 6% quarter-over-quarter decline is rather typical. This can be explained by looking at the main verticals. First, Automotive, our biggest exposure. Revenues came in 6% down compared to the previous quarter Currency helped, but also our new sensor projects trended well. The LED inventory correction cycle developed a good playbook during the quarter, demand was still a bit depressed. Whilst we saw a book-to-bill of around 0.5 at the beginning of the quarter, it improved steeply to slightly above 1 in the course of the three month period, and has continued to develop positively since. There's certainly a lot of uncertainty persisting in the supply chain. You can see this at the short term ordering behavior which is regularly below normal lead times. Our customers just don't know themselves exactly what to build. Year-over-year, you see clearly the LED inventory correction cycle taking its toll with 11% down in auto revenues. We did this particularly at the very short term ordering of the OEMs as fulfillment inventories at channel partners are in normal range. Second, Industrial & Medical. Horticulture revenues are at a seasonal low. The green shoots in terms of demand improvement at our bigger direct industrial customers are just noticeable in revenues. Street lighting is an important, normally very stable application within professional lighting. However, last quarter we saw the first project push out in the U.S. due to federal budget cuts. The distribution channel did a bit better in Europe and the U.S. China was weak. It still feels the cyclical low is reached with another quarter-over-quarter and year-over-year decline of around 10% each, but we must await any impact of the new tariff regime ahead of us. As mentioned before, a key driver for the reduction in Q1 was the end of life of a specific product in Industrial. Third, Consumer where we are mainly supplying sensors to smartphones and wearables. Typical quarter-over-quarter demand reduction. Year-over-year, we could even compensate the exit of the non-core portfolio by new products and ended up with a significant growth of 21%. The new products clearly kicked in, but we also enjoyed some more orders for legacy products. For this, the typical seasonal reduction compared to December quarter was hardly visible. Now, let's talk about our products. I'm on Slide 7. We are very proud that further car models featuring our priced EVIYOS headlamp product are hitting the streets. The new Opel Grandland from Stellantis, a mid-size SUV, comes with a 25,000 pixel forward lighting solution. It shows again the attractiveness of this solution not only for the high end of the market. On top, one of the leading innovative Chinese EV makers has decided to launch the 25,000 pixel forward lighting in its latest flagship model. I will tell you more about it in the next quarter. And this is just the beginning. Further models from various carmakers will launch with EVIYOS on board in the quarters to come, gradually turning the significant design win basis of around €500 million into revenues. Q1 saw not only EVIYOS making it more and more to the market, but also other great developments. Let us take a look at Slide 8. Continuing with Automotive, we are proud of the design win for hands-on detection with a major Chinese EV maker. It was chosen by this EV maker as a key element for its intelligent driving system. Next, I mentioned a couple of quarters ago that we see opportunities in leveraging ASIC capabilities into our automotive customer base. Now, we are making first inroads. We are providing open system protocol LED driver chips to a customer that who has been working with for many years. Switching gears to I&M, we could land a big design win in the X-ray sensor space for Computed Tomography at an Asian customer. And lastly to consumer, we developed a unique optical heart rate sensor that features in a wearable device that allows for unprecedented precision, especially when you're performing sports. Unfortunately, we cannot go into more detail for confidentiality reasons, but we're extremely proud of this achievement. Moving on from top line to bottom line, the Re-establish the Base program has been pivotal in improving and structurally stabilizing our bottom line. On Slide 9 here, end of December our realized run rate savings stood about €110 million. Implementation is pushed forward without a pause. As such, we can report about €135 million implemented run rate savings at the end of the first quarter. You will see the effect when we come to the guidance for the next quarter in a bit. Just for completeness, we upsized the program as you remember, to €225 million run rate savings by the end of '26 in Q3 last year. All necessary measures and actions are in detail identified and specified, and are now in execution. With that, it's time for the financials, and Rainer, please tell us what happened during the first quarter.
Rainer Irle: Yes, thank you, Aldo and hello everyone from my side as well. And we are on page 10 now. First quarter operating cash flow came in at just €10 million compared to €79 million in the December quarter. Several effects that are, kind of, sometimes positive and sometimes negative, all happen to be negative in Q1. Inventories went up and accounts payable went down. In some customer, payments came a day or two late because the 31st of March was bank holiday in Singapore, the major settlement hub in Asia, and we saw some negative effects from FX swaps. And finally, as you know, Q1 as well as Q3 have the big coupon payments. To compensate, we increased factoring while we also reduced reverse factoring in the first quarter. As you know, for the avoidance of doubt, the net interest paid is always included in the definition. On CapEx, just €52 million in the first quarter, that means a ratio of 6% CapEx to sales, well below our average target ratio of 8%. And looking at inflows from divestments, we recorded €14 million in Q1 from selling unused land and equipment. On the free cash flow, reported free cash flow ended up with a minus €28 million, without that bank holiday, we would be looking at neutral or slightly positive free cash flow in Q1 which was my internal guidance to our treasury department. We switch to Slide 11 net earnings and earnings per share. On the left the adjusted figures, the adjusted net result improved year-over-year from minus €35 million to still negative €23 million. However, the underlying improvement in profitability, thanks to Re-establish the Base is evident. Quarter-over-quarter adjusted earnings per share turned slightly negative from €0.03 in Q4 to minus €0.23 in Q1. Net financing result was €65 million. Income tax about €60 million, and for the full year we expect tax expense to be in the order of €60 million. Now, the IFRS net result improved by €639 million to negative €82 million in Q1 compared to a year ago. Last year in February, we had the cancellation of the micro LED cornerstone project that had led to significant write-offs. With that, diluted earnings per share came in with minus €0.83 in the first quarter. Now, switching gears from P&L to balance sheets. Here you find on page 12 the latest update on debt, liquidity and maturity. End of December we had €1.1 billion cash on hand. On March 7th we paid back as planned the €447 million to the holders of the 25 convertible with that cash, and we had already refinanced that as we know in '23, so we have the money. So with that the cash on hand position reduced to €573 million by end of March. Cash is also down €20 million due to FX effects, right, the money we have on U.S. dollar accounts, the change in FX rates, €50 million of minority shares were tendered in the cash flow as you know, we said before, was €28 million negative. Now in '26 we have bilateral facilities of around €110 million that will become due, and then in '27 we have the next bigger one which is the convert '29, the high yield bonds and the value of the Malaysia Sale-and-Lease Back transactions stood at €429 million end of Q1, that's actually down from €441 million end of December again to the heavy devaluation of the Malaysian ringgit during the first quarter despite the regular quarterly accrual of the lease payment. This brings us to a slightly increased net debt position of €1.9 billion compared to end of December. The outstanding minority put options stood at €750 million, or 13% of outstanding shares end of March, minority shares with value of €50 million were tendered in Q1. Our revolving credit facility could in principle fully cover and exercise all outstanding OSRAM Licht-AG minority put options. Taking cash, the revolver and bilateral lines into account, our available liquidity remains very strong at around €1.2 billion. And if you want, you could add to that also some sizeable factoring lines that we have. And on the right, you find the maturity table of our outstanding debt. Now, completely new theme on page 13, we have been talking about deleveraging and selling assets before, but now, I would say the preparation is completed and we are getting serious. We want to get below 2 times net debt to adjusted EBITDA as we had said before. To expedite this process in view of the increasing uncertainties in the economic boundary conditions, we have now defined a five-fronted approach. First, that's not new, we'll continue to improve profitability and free cash flow to Re-establish the Base in growth in the core business. Also, as we already said, we will strip CapEx to below 8%. By all of this, we will accumulate net cash over time. Second, we continue to expect selling the empty factory in Kulim and getting rid of the Sale-and-Lease Back. This is still an active process, but it's taking time given the volatile environment, no change here. Third, we are currently working with our banks on extending the revolver, the RCF by one year to be on the safe side in case that a larger portion of the minority shares would be tendered after the final verdict in the appraisals case. Now fourth, we are considering very strategic options for certain assets to generate cash well above €500 million proceeds to speed up the deleveraging. This will allow us to cover a large part of the 27 convertible bond and the amount of the minority shares potentially covered by the revolver. The remaining low triple digit amount that will then still be required for the refinancing and therefore we will find an adequate instrument. And finally, first on the back of the positive free cash flow, the higher profitability growth and net debt below 2 will then have an improved implicit rating which will allow us to refinance the maturity. The maturities are much better conditions, and ultimately, and I think I said that before, our goal is to bring interest payments below €100 million a year. And with that, let me hand back to Aldo for the summary and outlook.
Aldo Kamper: Yes. Let me summarize the key developments for the first quarter, and thanks Rainer for explaining all of that. I'm now on Slide 14. We -- again, as you have heard today delivered revenues and profitability above the midpoint of the guidance. Book to bill improved across all businesses to above 1. Execution of the RTB program continues to progress very well and continues to be significantly ahead of plan. We paid back the 25 convertible note and maintained a strong cash position and we continue to win new attractive businesses at a rapid pace and our technologies ramp in the market. And Rainer just explained our accelerated deleveraging plan. With that, let us look at Q2 and fiscal year '25 outlook on Slide 14. In terms of tariffs, we are mitigating most of the primary impact by renegotiating tariffs with customers so that at the end of the day they paid additional levies. If we decide to reroute production flows wherever possible and sensible, we may incur some transfer cost from Wuxi to Malaysia for example, but this will not have a major impact on the P&L.. The real question is to what extent will global car production be negatively affected or will fewer smartphones be sold. We will all need to see how the situation develops as it continues to be highly volatile on an almost day-to-day basis. Looking at profitability, we continue to be ahead of realizing our run rate savings from Re-establish the Base. This will help stabilizing gross margin improvements and the bottom line as long as the more severe impacts from tariff war do not become too big. Looking at cash flow, we continue to be very strict on CapEx investments and plan for less than 8% of sales, lower than our target operating model. Q1, as you have seen, came in at 6%, significantly below the target here. Despite the lower predictability for the second half, we continue to expect free cash flow to come in above €100 million, of course, including net interest rate. This includes the currently known impacts of tariffs and still has bigger room for some further uncertainties in terms of top line. With this, I conclude my remarks and now Rainer and I am happy to take your questions.
Operator: [Operator Instructions] And the first question comes from Janardan Menon from Jefferies. Please go ahead.
Janardan Menon: Hi, good morning. Thanks for taking the question. My first question is just on the cyclical aspects of both the automotive and industrial businesses. In the last few quarters, you have alluded to the fact that you are seeing some cyclical weakness, inventory correction, et cetera in those segments. And some of the semiconductor peers selling into automotive industrial like TI and STM have talked about a cyclical improvement, especially in industrial, but also in European automotive, whereas your comments are sort of very much on the product ramps and seasonality in your outlook statement. So I'm just saying, are you seeing any kind of a cyclical upturn? And if not, why do you think that you're not seeing that, especially in the industrial and automotive segments whereas others are?
Aldo Kamper: Yes, no, thanks for the question and let me clarify that. I think what I also pointed out is that the book to bill has significantly improved throughout the quarter. We've spoken about Q4 being at 0.5, 0.6. We started the quarter in that order of magnitude, and during the quarter, significantly improved to above 1 and it continues to improve also now in the beginning of this quarter. So I do agree that the order intake is actually improving pretty much across the board for OS automotive, but also non-automotive, and in most regions, except at the moment for Americas that is a bit weaker in the last weeks. I&M, yes, we do see, and I think we also referred to that last time, that our industrial customers that I also visited myself over the last months do see their markets getting slightly better and we start to see that also now flowing through to us; not massively yet, but at least the direction is the right one. So we hope to continue to see that. I think everybody is of course questioning what will happen with end customer demand at the end of the day in the second half of the year when the whole tariff situation, if it would continue, would have perhaps more of an impact, but at the moment actually, the outlook starts to become a bit better compared to where we were a quarter or two quarters ago.
Janardan Menon: So in that context, your guidance for a low double digit increase second half versus first half, would you say that that is conservative with some uncertainty of the tariffs built in or is it as you see your order book right now? How do you describe that?
Aldo Kamper: Yes. I would see it as realistic. We've always said it's a combination of design wins becoming revenue and some market normalization. I think what we now, after a couple of quarters with very low book to bill, start to see an improvement, but we need that improvement also to deliver this market normalization in terms of revenue in the second half year. So I think what we are just -- what we're seeing now on the book to bill development is also what we need to be able to support that statement. So I'm not getting more aggressive, but I'm just seeing more proof points that that second half outlook is looking reasonable. Statement is reasonable.
Janardan Menon: And my second question is on the EBITDA -- adjusted EBITDA guidance of 18.5% in Q2. Just to peel that back a bit, how -- what are the parts there? Your lamps and systems did extremely well in Q1. Will that be reducing in Q2? And therefore is it that the semiconductor side is sort of showing most of that increase? And how much of that increase will be gross margin versus any kind of OpEx reduction into Q2? Thanks.
Rainer Irle: Yes, Janardan. It is kind of -- I mean, we said the revenue will be a bit down in Q2. I mean, there's an FX impact and there's certainly the seasonality in the traditional business. And despite that, EBITDA margin will go further up and that is our improvement projects, they just delivered as expected, and that will come up and then kind of if you look further out in the year, you certainly will then see fall-through from the stronger second half of the year.
Janardan Menon: Okay. So it should, based on current visibility, continue to improve through Q3 and Q4.
Rainer Irle: Yes. You know that we don't give an annual guidance, but certainly with higher revenue in the second half of the year, there will be a fall-through.
Janardan Menon: Understood. Thank you very much.
Operator: Then the next question comes from Robert Sanders from Deutsche Bank. Please go ahead.
Robert Sanders: Yes. Hi, good morning. Maybe if you could just clarify a bit more about the strategic options and the €500 million, how you get to that number. And would you be open to, for example, a JV in the lamps business? What kind of options are you considering? How dramatic could it be to your portfolio? Thanks.
Aldo Kamper: Yes. Rob, we cannot talk about it in more detail. As I said, we are looking at several options currently and talking to potential buyers. I also said it will be well above €500 million. So it's not €500 million. It's certainly more. And depending on which part we will be selling, that will then also determine the amount we will be getting. And we not only want those proceeds, we also want to then significantly improve the net debt to EBITDA. So we are talking to potential buyers. We are actually talking to them already now, and that will then determine which portion of the business we will actually be selling.
Robert Sanders: Got it. And in terms of your lead consumer customer, can you just remind us what the content step up is? Your main sensor competitor is talking about a $200 million step up in the second half from content gain. I was just wondering if you could just remind us what you expect for the next platform. Thank you.
Aldo Kamper: We've already seen last year in -- from Q2 to Q3, a meaningful step up with the launch of the new sensor product on the part of the portfolio. Now that part will be used basically across the board in the portfolio. So you will see another step up in the second half of this year that we're preparing for right now. Yes. I think we have never given specific numbers around that, but you can kind of look at last year, what happened to give you a sense for the magnitude.
Robert Sanders: Okay. So you're syndicating an existing design win across the portfolio, not gaining a new bit of content in the next platform.
Aldo Kamper: For the revenue of this year, that's mainly the case. At the same time, we continue to expand our footprint in this customer with further design wins that will then kick in later.
Robert Sanders: Okay. Thank you.
Operator: And the next question comes from Sebastien Sztabowicz from Kepler Cheuvreux. Please go ahead.
Sebastien Sztabowicz: Yes. Hello, everyone and thanks for taking my question. Your book to bill has improved quite nicely during the quarter. Do you believe there is a little bit of pulling orders into the book to bill today because of the coming tariff? And then second question, you are mentioning some inventory adjustment in optoelectronics in automotive. Do you see any other correction on inventory still ongoing in your other businesses or you believe it is almost completed right now and you are back to normal level of inventories in I&M and the consumer business? Thank you.
Aldo Kamper: Yes. The second one, I would say that there's nothing really that sticks out. So it's pretty much normal with some usual ups and downs, but nothing to be really worried about. On the first one, we see a lot of short-term order behavior, but at the same time, if you look at the book to bill, it has improved throughout the quarter and continues to improve. So just logically if people order now, then it's in principle almost already too late to be ahead of the tariffs. So I think the vast majority is more related to the fact that we had a pretty low order entry for quite some time in Q4 and people need to replenish their order book. Otherwise, you can't build the cars. So even if you build a few cars less, I think, they needed to basically place the orders to not get into an allocation situation later in the year where we wouldn't have loaded the factory accordingly. So I would more see this as a indirect somewhat positive sign that our customers continue to believe that overall vehicle build numbers will not change significantly and they realize that with the low orders that they gave us in Q4, then they need to replenish the order book and they're doing so right now.
Sebastien Sztabowicz: Thank you.
Operator: Then the next question comes from Harry Blaiklock from UBS. Please go ahead.
Harry Blaiklock: Good morning. Thanks for taking my question. I was wondering whether you could help run through the key elements driving free cash flow to over €100 million for the full year. I assume kind of a decent portion is drop through from the revenue recovery and more from Establish the Base, but then are there any significant kind of working capital, CapEx, interest changes that -- or anything else that you would flag that you're expecting?
Rainer Irle: Yes, Harry, hi. Yes, as I said, I mean, Q1 had quite a few kind of negative effects. I mean, that will certainly be normalizing and then a big contribution this year will be the payments we are receiving from government subsidies, in this case, from the Austrian Chips Act, which has now been fully approved, as we disclosed before. So that will be a contributor, and then certainly then the improving business performance in the quarters to come.
Harry Blaiklock: Got it. And then second question just on the cost program. I know kind of you're obviously executing on it well. I know in the past, you said kind of you wouldn't look to expand it even further, but could that change in a scenario where tariffs really start to impact the macro backdrop?
Aldo Kamper: Well, at the moment, the main thing that we're doing is trying to accelerate the actions that we have defined and that at the moment is the most helpful piece. The other part that of course we are executing already upon and will further accelerate is we have some product lines that were located in our China factory and we're moving some of those now to our -- which we will move -- the ones that are relevant for the American market to Malaysia to also here have an option to kind of sidestep the tariffs. It's not zero in Malaysia, but it's much lower obviously than China. So those are really the two areas where I see most traction and that will be the parts that have the most quickest impact on the cost situation and the competitiveness of our parts.
Harry Blaiklock: Thank you.
Aldo Kamper: Sure.
Operator: [Operator Instructions] And the next question comes from Sandeep Deshpande from JPMorgan. Please go ahead.
Sandeep Deshpande: Yes. Hi, thanks for letting me on. Two questions if I may. Firstly, my question is on the tariffs itself. I mean, do you have any supply chain related issues on the tariffs that will impact your margins in the next few quarters because of tariffs that -- retaliatory tariffs or any tariffs in the supply chain? And then secondly, my question is on this €500 million plus that you plan to generate through disposals. Are you considering in terms of disposals significant earnings generators that you will dispose because you now think that you want to take the business in a different way? So will there be a structural change in your business you are thinking associated with potential disposals?
Aldo Kamper: Yes. So to start with the second one, we are looking at options, as Rainer said, and yes, they also might be meaningful and significant steps. So it's clear that if you want to get to proceeds north of €500 million that you have to also sell something that is valuable logically. So in that sense, depending on what direction we finally take, there will be potentially quite some meaningful change to the profile of the group. On your first question, fortunately so far no real impact of the tariffs on our supply chain. We have fortunately, for most of our pre-materials, multi-sourced it and tried also to find sources outside of China as a fallback. So in that sense, we are fairly well covered. Yes, there is some hiccups and sometimes the exports out of China take a little longer to get the permits, but so far we have not been able -- and we have not been having difficulties in getting those permits and we've been able to keep our supply chain fully loaded. And again, we have, for most of our import materials also, alternatives. So that is not so much the issue. What is painful is the high gold price. That's kind of also an indirect impact of the current uncertainties, and at OS, both in wire bonds and also in the chip process, we use quite a bit of gold, and that's a meaningful impact that we have to digest. And that is, honestly speaking, a bigger financial worry at the moment than the other supply chain issues that you were hinting to.
Sandeep Deshpande: Thank you.
Operator: And the next question comes from Reto Huber from Research Partners AGH. Please go ahead.
Reto Huber: Good morning, gentlemen. Thank you for taking my questions. I have two housekeeping related ones. The first one is what is the euro amount of adjustments you have included in your guidance for EBITDA? Then secondly, how much sales with your automotive industry is in the lamps and systems segment in the first quarter?
Rainer Irle: I assume you're referring to the delta between EBITDA and adjusted EBITDA, right?
Reto Huber: For the Q2. For Q2, please. Yes.
Rainer Irle: For the what? Sorry, did you…
Reto Huber: For the second quarter. So, yes, the delta between reported, so IFRS EBITDA and adjusted EBITDA in the second quarter.
Rainer Irle: Yes. I mean, you see the delta we had in Q1, the majority is related to restructuring cost. There is not too much of a change. We'll continue to incur restructuring expenses going forward as we run the Re-establish the Base program.
Reto Huber: Okay. It stays like this. And also for the coming quarters after Q2.
Rainer Irle: Yes. We will continue to have restructuring expenses as we execute.
Reto Huber: Okay, thank you.
Operator: Ladies and gentlemen, there are no further questions at this time. So I would like to turn the conference back over to Juergen Rebel for any closing remarks.
Juergen Rebel: Yes, thank you, operator. Thanks everyone for joining today's call, for your questions. You'll find further material on the website, as I mentioned at the beginning. And beyond that, you can always reach out to us at Investor Relations for any further questions, and we'll try, as always, to answer them as quickly as possible. With that, I would like to close today's call and we're looking forward to speaking to you in a quarter from now.
Aldo Kamper: Take care. Bye-bye.
Rainer Irle: Thank you.
Operator: Ladies and gentlemen, the conference has now concluded and you may disconnect. Thank you for joining and have a pleasant day. Goodbye.